Operator: Good morning and welcome to the H&E Equipment Services Third Quarter 2016 Earnings Conference Call. Today's conference is being recorded. And at this time, I'd like to turn the conference over to Kevin Inda. Please go ahead.
Kevin Inda: Thank you, Evan, and welcome to H&E Equipment Services' conference call to review the Company's results for the third quarter ended September 30, 2016, which were released earlier this morning. The format for today's call includes a slide presentation, which is posted on our website at www.he-equipment.com. Please proceed to Slide 1. Conducting the call today will be John Engquist, Chief Executive Officer; Brad Barber, President and Chief Operating Officer; and Leslie Magee, Chief Financial Officer and Secretary. Please proceed to Slide 2. During today's call, we will refer to certain non-GAAP financial measures. And we've reconciled these measures to GAAP figures in our earnings release, which is available on our website. Before we start, let me offer the cautionary note that this call contains forward-looking statements within the meaning of the federal securities laws. Statements about our beliefs, expectations, and statements containing words such as may, could, believe, expect, anticipate, and similar expressions constitute forward-looking statements. Forward-looking statements involve known and unknown risks and uncertainties which could cause actual results to differ materially from those contained in any forward-looking statement. These risks include those described in the risk factors in the Company's most recent annual report on Form 10-K. Investors, potential investors, and other listeners are urged to consider these factor carefully in evaluating the forward-looking statements and are cautioned not to place undue reliance on such forward-looking statements. The Company does not undertake to publicly update or revise any forward-looking statements after the date of this conference call. With that stated, I'll now turn the call over to John Engquist.
John Engquist: Thank you, Kevin, and good morning, everyone. Welcome to H&E Equipment Services' third-quarter 2016 earnings call. On the call with me today are Leslie Magee, our Chief Financial Officer; Brad Barber, our President and Chief Operating Officer; and Kevin Inda, our VP of Investor Relations. I'll direct my comments this morning to our third-quarter results, our business, and overall market conditions. Then Leslie will review our financial results. When Leslie finishes, I will close with a few brief comments, after which we will be happy to take your questions. Proceed to Slide 5, please. Louisiana was hit with what meteorologists have classified as a 1,000-year flooding event in mid-August as a result of nearly 30 inches of rain falling in some areas in less than 48 hours. While our business incurred a short pause as construction projects were temporarily delayed, activity recovered fairly quickly. I also want to point out that the flooding primarily caused damage to the interiors of homes and businesses. This type of cleanup and the resulting rebuilding process is not suitable for the categories of equipment we rent, so our business won't benefit from this tragic event. We continue to believe that the nonresidential construction markets remain healthy based on current bidding activity levels, strong backlogs, positive customer sentiment, and the robust activity associated with ongoing large project. In terms of our third-quarter results, total revenues decreased 11.6% or $32.2 million to $244.7 million due to the continued weakness in our distribution business, largely driven by the very low crane demand. Net income was $11.7 million or $0.33 per diluted share. EBITDA was $81.9 million. Our rental business generated revenues of $118.5 million, and margins were strong at 49.5%. Physical utilization held study at 72.1%, while rental rates decreased 7/10 of a point from a year ago. Sequentially, rates increased 1% from the second quarter. Dollar returns were solid at 35.4%. Please proceed to Slide 6. This slide illustrates our nationwide footprint, various regions, branch locations, and greenfield sites that we have opened during the last three years and thus far into 2016. We currently have 76 branches and have opened 13 greenfield sites since the beginning of 2013. We expect to open 2 more locations this year. While nonresidential construction activity is healthy across our entire footprint, demand in our mid-Atlantic and Southeast regions is the strongest. Even though nonresidential Gulf Coast project starts are down year over year, this region remains highly active compared to historic levels. Project starts a year ago were unprecedented. Never before in Louisiana have we seen this level of industrial projects break ground. There are more than 30 major industrial projects currently underway that are expected to continue into 2018, with several expected to carry into 2019. More than 20 major industrial projects are at or near breaking-ground stage and are estimated to span from 2018 to 2020. These projects encompass LNG, ammonia, ethane crackers, methanol, refining, and other petrochemical-related products. So we believe the environment in Louisiana and along the Gulf Coast in general is still creating opportunity, with industrial activity expected into 2017 and beyond. Let me make an additional point about our Gulf Coast region. We view our strong presence in the Gulf Coast as a positive. Non-energy-related project activity in Texas remained very strong when oil was at its lows, helping offset the decline in oil-patch-related work. The energy market is now showing signs of life. And when a recovery occurs, it will add additional momentum to the solid activity levels occurring in the Gulf Coast today. Let me now provide a few more specific comments on oil patch and its current impact our business. Proceed to Slide 7, please. Utilization is solid and our combined oilfield markets is 70.3% during the third quarter. Approximately 90% of our revenue in Texas, our largest oil patch exposed market, is coming from non-energy-related activity. If we see oil hit $60 a barrel and remain there, then we believe we'll see a significant improvement in our distribution business, specifically new crane sales. Proceed to Slide 8. Let me conclude with a few additional points on current market conditions. As far as industry indicators, the Dodge Momentum Index continues to forecast solid levels of nonresidential construction projects into 2017. The August DMI of 134.8 was up 16% over a year ago. Even though the DMI fell 4.3% to 129 from August to September, September DMI was 5.1% higher than a year ago. ABI data remains a favorable overall, and the South region, where we have a heavy presence, continues to score higher than other US regions, at 53.4 in September. The American Rental Association forecasts a 7% increase in total construction spending in 2017. Total construction employment data indicates demand for workers is running above 2015 levels and holding study thus far into 2016. And the FAST Act will also eventually be a positive for the industry, with $305 billion in funding to fix much-needed infrastructure nationwide. Approximately, $230 billion has been appropriated for highways alone. Both presidential candidates are also proposing substantial infrastructure stimulus packages, which if enacted would also benefit the industry. At this point, I'm going to turn the call over to Leslie for the financial results.
Leslie Magee: Good morning, everyone. Thank you, John. I'll begin on Slide 10 to discuss our financials in greater detail. As John mentioned, the trends in our rental business remain positive, but the distribution side of our business continues to be very soft. To summarize, total revenues decreased 11.6% or $32.2 million compared to the same period a year ago to $244.7 million. $30.3 million of this decrease was related to lower new and used equivalent sales on a combined basis. Gross profit decreased 5.1% or $4.7 million to $88.1 million compared to a year ago on higher margins of 36% compared to 33.5% a year ago. As for the rental segment, rental revenues increased 0.4% to $118.5 million compared to $118.1 million a year ago. Physical utilization remained healthy, with average time utilization based on OEC of 72.1% for the quarter compared to 73.7% a year ago. Demand for AWPs was solid, with AWP physical utilization at 73.6% compared to 73.4% a year ago. While AWP utilization increased slightly, earthmoving utilization declined 340 basis points and crane utilization declined 890 basis points, all compared to a year ago. As we expected, new equipment sales continue to be weak, declining 32.7% or $21.8 million to $44.8 million. Crane sales decreased 48.4%, representing $17.6 million of the total $21.8 million decline. Used equipment sales also decreased compared to last year, down 29.1% or $8.5 million to $20.6 million. Sales from our rental fleet comprise 86.1% of total used equipment sales this quarter compared to 81.7% in the third quarter a year ago. Our parts and service segments delivered $43.4 million in revenue on a combined basis, down 5% from a year ago. Total gross profit of the quarter was $88.1 million compared to $92.8 million a year ago, a decrease of 5.1% on an 11.6% decrease in revenue. Consolidated margins were 36% compared to 33.5% a year ago. For more detail by segment, rental gross margins for the quarter were 49.5% compared to 49% last year. Margins on new equipment sales were 10.3% for the third quarter compared to 9.8% a year ago. Used equipment sales gross margins were 30.4%, the same as last year. Margins on pure rental fleet and lease sales were 33.7% compared to 34.4% a year ago. Parts and service gross margins were 42.1% compared to 41.6% a year ago on a combined basis. Slide 11, please. Income from operations for the third quarter decreased 14% to $33.1 million compared to $38.5 million last year on a margin of 13.5% compared to 13.9% in the third quarter last year. Income from operations declined as a result of lower revenues and higher SG&A as a percentage of revenue compared to a year ago. Proceed to Slide 12. Net income was $11.7 million or $0.33 per diluted share in the third quarter compared to $14.8 million or $0.42 per diluted share in the same period a year ago. Our effective tax rate was 41.7% compared to 42.1% a year ago. Please move to Slide 13. EBITDA was $81.9 million in the third quarter compared to $86.2 million a year ago, and our EBITDA margins were 33.5% compared to 31.1% a year ago. Next on Slide 14. Our SG&A was $56 million, a $1.3 million or 2.3% increase over the same period last year. SG&A as a percentage of revenue was 22.9% this quarter compared to 19.8% a year ago. Of the $1.3 million increase, $1.2 million was related to new branch expansions compared to a year ago. Next on Slide 15. Our gross fleet capital expenditures during the third quarter were $87 million, including non-cash transfers from inventory. Net rental fleet capital expenditures for the quarter were $69.2 million. At the end of the third quarter, the size of our rental fleet based on OEC was $1.3 billion, a 4.8% or $61.7 million increase since the end of 2015. Gross PP&E CapEx for the quarter was $5 million and net was $4 million. Our average fleet age as of September 30 was 31.5 months. We used $28.2 million of cash in the third quarter compared to free cash flow of $15.1 million a year ago. And we've included a free cash flow GAAP reconciliation to net cash provided by operating activities in the appendix at the end of this presentation, reconciling free cash flow for the same periods presented here on this slide. Proceed to Slide 17, please. At the end of the third quarter, our outstanding balance under our $602.5 million ABL facility was $209.8 million. And therefore, we had $385 million of availability at quarter end, net of $7.7 million of outstanding letters of credit. And with that, I'll turn the call back to John for his conclusion. And then we'll open the call for questions.
John Engquist: Thank you, Leslie. Please proceed to Slide 19. In summary, demand remains healthy in the nonresidential construction markets we serve and our rental business continues to generate solid returns. We also firmly believe the Gulf Coast market remains an attractive market and will continue to be for several years, especially when the energy markets recover. Lastly, we paid our ninth consecutive quarterly cash dividend on September 9. As usual, the dividend is subject to Board review and approval each quarter. At this time, we'll be happy to take your questions. Operator, please provide instructions.
Operator: [Operator Instructions] And we will take our first question from Nick Coppola from Thompson Research Group. Please go ahead
Steven Ramsey: This is Steven Ramsey on for Nick. A couple questions. First one, I think the key topic in the rental business has been the supply and demand imbalance. And when you look around at the competitive environment, do you see most competitors behaving responsibly with fleet growth? And do you think the excess fleet is being absorbed well in your markets?
John Engquist: Yes, I do believe most of the sector is behaving responsibly. And I think we still have some capacity issues in certain categories. You know, specifically cranes and products tied to commodities. And I think there's probably still a capacity issue in larger earthmoving equipment. But I do believe that's being absorbed, and I do believe the sector is being responsible.
Steven Ramsey: Excellent. And then I guess just to kind of push a little further on some of your thoughts for the macro view and heading into 2017, I guess the Street -- Wall Street -- is concerned that we are hitting a slower patch in non-res construction activity. And clearly, your views differ. Do you think industrial activity stays strong into 2017? And even more so, as you said, on the Gulf coast. What are your thoughts there?
John Engquist: We feel good about the construction markets for a lot of reasons. We follow all of the industry indicators and all of the forecasters. More importantly, we listen to a very large sales force we have out knocking on doors every day. And customer sentiment is very positive right now. So we feel like we've got some runway in the construction markets. As far as the industrial sector and the Gulf Coast, there's a number of really big projects ongoing that are going to last into 2017 and beyond. And there is a number of projects that I referenced that are at the breaking-ground stage that we expect to start. So overall, it's a positive environment in the non-res construction markets, and we think we've got some runway left in this industrial expansion in the Gulf Coast.
Steven Ramsey: Excellent. Thanks, guys.
Operator: We’ll take our next question from Neil Frohnapple from Longbow Research. Please go ahead.
Unidentified Analyst: This is actually [indiscernible] on the phone from Neil. So regarding your crane distribution business, I know you noted that the energy is starting to show signs of life. So do you feel like that business is at bottom for you and the $45 million in revenue in the quarter is a low watermark? Or could potentially get worse?
John Engquist: That's a good question. I don't know how it could get much worse. Demand is about as low as I've ever seen it. And look, there's no question that the biggest driver of the crane business is the energy market. And it's really impacted that segment of our business. We need to see oil get to $60 and show stability and show that it's going to stay there. And if that happens, I think we are going to see some real recovery in our crane business. But that's what we need to see. It's really soft right now.
Unidentified Analyst: Okay. And the short pause in business during the third quarter as construction projects were delayed because of the flooding, will there be a full snapback in the fourth quarter? Or will there be some lost revenue spill over into 2017?
John Engquist: No, I think the issue will be behind us in the fourth quarter and into 2017.
Unidentified Analyst: Okay thank you.
Operator: We’ll take our next question from Steven Fisher from UBS. Please go ahead.
Steven Fisher: Thanks. Good morning. The rental gross margins were quite good, despite the headwinds that you had in pricing and utilization. Can you just talk a little bit about what drove that margin improvement year over year?
Leslie Magee: Really, it comes from managing the cost side of the business, and it was improved maintenance and repair costs is the bulk of that.
Steven Fisher: Okay. And then in terms of costs, I think just seasonally, your SG&A typically goes up in the fourth quarter versus the third quarter. Just want to verify that. And how should we think about SG&A next year?
Leslie Magee: Where we sit today, I don't have any reason to believe that SG&A would increase into the fourth quarter compared to the third quarter. And as far as 2017, we are currently working on our 2017 plan and finalizing that. So we don't have any specific color to give on that at the moment.
Steven Fisher: Okay. Then maybe for John, you mentioned that some of these bigger energy projects are near the breaking-ground stage. But you also mentioned about $60 oil kind of being needed to get crane demand and some of the energy projects going. Just want to clarify the message. Do you think that these projects can break ground with current conditions? Or do you think the groundbreaking would only take place once we do get to a little more firm energy environment?
John Engquist: I think the majority of the projects will break ground at current prices, yes. I think these are largely driven by low natural gas prices, which we don't think is going to change in any material way. So yes, I think the projects are viable at current oil prices.
Steven Fisher: Okay. Thanks very much.
Operator: We’ll take our next question from Seth Weber from RBC Capital Markets. Please go ahead.
Seth Weber: Hi, good morning. I just wanted to go back and touch on I think Leslie's answer to the prior question about maintenance and things. I mean, is there anything that you guys are doing to extend the life of your equipment or have you figured out how to use the equipment longer? Is there anything that we should be thinking about as far as you guys have sort of changed the way that you sort of raise and maintain the equipment that's going to be structurally better for you going forward and just require maybe less capital investment going forward as well?
Brad Barber: Seth, this is Brad. It's really more of an efficiency issue. I think you are aware we've got a fleet age of about 31.5 months. That's certainly benefiting us. Historically, where we were coming off some comps when the oil field was coming down, we had large amounts of equipment coming in. Typically internally and then within the industry we reference maintenance costs as a percent of rental revenue. I think year to date we are running at 10.4% as compared to 10.9% a year ago. And so we are finding internal efficiencies, we're capitalizing on this young age of our fleet, and we think we can continue to incrementally improve on that piece of the business.
John Engquist: But it's not an issue of us aging or keeping the equipment in our fleet longer. When we had all that equipment come back out of the oil patch, that's a pretty tough -- or it can be pretty tough application. So that created some spikes in maintenance expense. And then, again, I think Brad and his team are just working on efficiencies every day and I think we get some benefit from that.
Seth Weber: Sure. No, that's helpful. Thanks, guys. And then just on the new store openings, is there any color you can share with -- you know, are they ramping up to profitability levels more quickly than you might have thought? Or can you talk about any metrics that we can think about as you open up new stores? Are they -- is the performance kind of better than you might have expected? I also thought the rental margin was surprisingly good in the quarter, so I'm just trying to kind of figure out what's going on here.
John Engquist: Brad may have more color than I do on this. But I mean, I think the performance is as expected and it's pretty much what we've seen historically. We haven't seen anything much better than expected or worse. It's kind of met our expectations and we've been pleased with the performance of our greenfields.
Brad Barber: Seth, the only thing I would add: we've opened three locations this year, and I've talked about them in previous calls. We opened Forestville, Maryland, in January. We opened Benicia, California, in January, and Savannah in January. We've got another opening that will occur within the next couple weeks. We'll be announcing it when we open that location. And then one we think we are going to squeeze in for December timeline as well. So we referenced some of our SG&A cost year over year is almost entirely related to those locations. But the performance remains very good. We expect the performance to remain very solid. We're going to continue with our strategy.
John Engquist: Yes. No surprises there.
Brad Barber: Zero.
Seth Weber: Okay. Well, I appreciate the color. Thanks very much.
Operator: And we’ll take our next question from Joe Box from KeyBanc Capital Markets. Please go ahead.
Joe Box: Good morning, everyone. Couple of questions for you on the 4% sequential fleet growth. Curious if that is just an opportunistic spend or if it was more geared toward your greenfields. If you could just give us any help on the rationale there. And then as we think about 4Q CapEx, are we looking at a significant falloff? Because I think you guys had talked about CapEx as kind of toward the $190 million range, which you are already at year to date.
John Engquist: Joe, look, if you look at us on a year-to-date basis, almost all of our growth that we've had is related to greenfields. Had we not had a greenfield strategy, our fleet probably would've shrunk a little bit if you take that out of the equation. In the third quarter, our spending was based on demand and it was opportunistic. And going forward, you could realistically expect our fleet to come down during the fourth quarter. We will not be investing in any capital in the fourth quarter.
Joe Box: Okay. And do you have a same branch revenue number or something that you track?
John Engquist: We do track it. We don't discuss it publicly, typically. But yes, we do track it internally.
Joe Box: Would you be willing to share maybe what the revenue -- the rental revenue breakdown was for your facilities that have been open over the last 12 months to give us a sense?
John Engquist: I just don't have it sitting here in front of us. If you want to check with us afterwards, we could probably get that information for you.
Joe Box: Okay. What do you guys think we need to see to get rental rates positive again?
Brad Barber: I think we are seeing a lot of the fundamentals that exist that need to exist happen. I think that optically, these things occurring Q3 and on into Q4, hopefully, are the time of year where you see seasonal downturn, right? So some time after Thanksgiving, H&E and everyone else in the rental industry is going to see the typical seasonal softening in utilization. And so I suspect that people are continuing to be fairly aggressive about retaining long-term rental contracts. That being said, our sequential rate increases give us a lot of confidence. The largest investment in our fleet, as you well know, was AWP. Our utilization on AWP early this week was 75%. So we've got good indicators for the supply balance coming into line. We're seeing our competitors act very rationally, generally speaking, as John spoke to earlier. And while we are working on our 2017 forecasting right now, we think the opportunity for rates to start off in a better position and to benefit earlier in the year than they did this year absolutely exist with the dynamics we've seen.
John Engquist: Joe, what I would add -- I mean, you saw Neff what reported. I mean -- and United. We think the rate environment next year is going to be improved and we'll be disappointed if rates don't turn positive next year.
Joe Box: Appreciate that. Maybe one last one for you. I get that there is still a pipeline of industrial projects in the Gulf. What I want to drill into is the huge slug, call it the $60-billion-plus of energy and chemical projects that started from the middle of 2014 through the middle of 2015. Can you maybe just give us a feel for where some of these projects are in their ramp? I'm curious if you have a significant percentage of your equipment on these projects or just a big chunk of equipment out there. And then maybe just in general turns, have you seen these projects transition from dirt to aerial? Or where are they at in their stage?
John Engquist: One, I'm going to let Brad handle -- the comment I will make is we do not have a significant piece of our fleet on these projects. We've referenced the competitive nature of these projects, particularly when you have United and Sunbelt going after them real hard. So it's not a significant piece of our fleet. But Brad, you --
Brad Barber: It's not a significant piece at all. That being said, the other part of your question was where are they at in the phases. Well, the phases vary, but I would tell you with the general outline you gave that these projects have two to three more years -- these large projects. So there's a lot of work to do. Most of the heavy foundation work, the piling and cement, but most of the larger projects that you are likely referring to have steel in the air. And it's going to be the aerial work platforms, all the other ancillary products -- cranes -- and earthmoving at a lesser degree at this point of those particular projects.
Joe Box: Got it. So if you are starting to see the steel go up, dirt is obviously coming off. Do you think that that's having some effect on the market right now for large dirt? As that equipment comes back?
Brad Barber: It certainly had some negative effect. I will say, however, the primary contractors doing that work, earthmoving is not heavily utilized in the rental portion. So these contractors typically own more of this heavy earthmoving product. Does it have an effect on the broader opportunity? Sure. At some level, it does.
Joe Box: Okay. Thank you, guys.
Operator: [Operator Instructions] And we’ll take our next question from Richard Kus from Jefferies. Please go ahead.
Richard Kus: Hi, guys. You already got to most of mine, but I'd like to digging a little bit more on the crane side of things. Can you talk a little bit about whether the weakness you are seeing is more on the sales side or the rental side? And then I'd be curious as to hear what percentage of that crane business is actually more energy related.
John Engquist: I think it's on both the sales side and the rental side. Certainly, our crane sales are off 50% year over year, somewhere in that area. So crane demand is exceedingly weak. Although our utilization on cranes today is running in the 70s% --
Brad Barber: It's approaching 80%. The problem is this time last year, we were closer to 90%. So we've had about a 10% -- we've depleted our crane fleet about 10% at an OEC basis. Our utilization is about 800 basis points below where it was a year ago, even on a somewhat smaller fleet. But as John has referenced, it's really both sides, right? It's the retail side as well as the rental side.
John Engquist: And the real issue is the weak energy markets. That's a huge driver of the crane business.
Richard Kus: I see, I see. So you would say that in terms of your crane exposure, that's actually a very significant portion of it.
John Engquist: Absolutely.
Richard Kus: Okay. And then are you seeing differences in utilization rates between the types of classes of cranes that you have? Is the heavier stuff that's maybe a little less energy related holding up better?
John Engquist: It's pretty similar. It's probably worth noting that our crane rental fleet is primarily rough terrain or what's referred to as RT cranes. We do not rent crawler products or AT products. So within the size classes, it's very similar.
Richard Kus: Got you, got you. Okay. And then lastly for me. As you guys are going to -- throwing off some cash flow here, what is your expectation around the M&A side?
John Engquist: For us specifically?
Richard Kus: Yes.
John Engquist: Look, I've stated on past calls we would be opportunistic if the right situation came along. We do certainly look at it. We've got a good strong balance sheet. Plenty of liquidity. We are not out chasing acquisitions. I don't have a team out looking for them, but we would certainly be opportunistic and entertain the right rental acquisition.
Richard Kus: Understood, great. Thanks, guys.
Operator: We’ll take our follow-up question from Seth Weber from RBC Capital Markets. Please go ahead.
Seth Weber: Hi, thanks for taking the follow-up. I'm just trying to glue together a couple comments. So the comment about expectations for rate to be up next year versus I think on the second-quarter call, you talked about some of your bigger national competitors kind of really knocking each other around a little bit. Has that abated somewhat? Or are you talking about -- or can you still get a positive rate environment even with that kind of noise and those guys kind of banging up against each other? I'm just trying to put those two comments together.
John Engquist: I don't think it's abated. You know, you've got Sunbelt announcing this massive store expansion, heavy greenfields. They are doing some tuck-in acquisitions, but it's primarily a greenfield strategy. And they've definitely gone after big projects much more than they have in the past, which is United's sweet spot. So yes, I think those guys are bumping heads pretty hard and it's creating some rate pressure. But that rate pressure is a very specific to the big projects. We're not seeing that on a broad basis at all. So today, if you've got a big stadium job or you've got a big petrochemical-related project that's going to consume a bunch of equipment, those two guys are banging heads hard and it's creating some rate pressure there. It's not a broad-based issue, though, into the smaller projects, smaller type customers.
Seth Weber: Perfect. Very helpful. Thanks, John.
Operator: We’ll take another follow-up question from Joe Box from KeyBanc Capital Markets. Please go ahead.
Joe Box: Thanks. Just one quick one. On the used equipment front, can you maybe help us deconstruct the 29% decline? Any color you can give us on how much of that was just lower quantities sold from fleet versus fewer trade-in packages. And I'd also throw in if used prices were also lower.
John Engquist: Joe, look, our fleet is very, very young and we are slowing fleet sales by design right now. I mean, we have no need to sell fleet right now. We are not spending a lot of growth capital. We're going to be pretty conservative with CapEx. So that's the biggest reason our fleet sales are down. We just have no need to sell much fleet with our fleet age.
Brad Barber: Yes, if there was a second piece of that, it would be that the fleet sales of cranes are certainly down like the new sales of cranes are down.
John Engquist: Right, right.
Brad Barber: So we would probably like to sell a few more used cranes then we have, but we're not going to do so at pricing that we don't think is favorable. And I think our discipline certainly shows up in our margins of our used sales.
Joe Box: Is it fair to say then that it would be more just less out a fleet as opposed to trade-in packages? And was there even impact to used pricing in the quarter?
John Engquist: I think you can see our margins were very consistent.
Leslie Magee: Right. The margins on fleet-only, I gave those, were 33.7% this quarter compared to 34.4% last quarter. So very comparable. And then I gave the percentage of fleet-only sales. I don't have the volume, but you can back into it. So for this quarter, the volume of fleet-only sales was 86% of our total used equipment sales versus 82% last year.
Joe Box: Perfect. Thank you for that.
Operator: That does conclude all the time we have for questions. I'll turn it back over for closing remarks.
John Engquist: I appreciate everybody joining the call. Like we said, we strongly feel that we are in a positive environment in the construction markets. We think that's going to continue for certainly the foreseeable future. And look forward to talking to you guys on our next call. Thank you for joining us.
Operator: That does conclude today's presentation. Thank you for your participation. You may disconnect.